Ryosuke Sakaue: I am Sakaue of Z Holdings. Thank you very much for participating in Q1 FY 2021 performance briefing. Q1 is actually the first quarter in which we will be reporting our performance after the integration with LINE. Based on the feedback we received from investors, we make sure to address 2 points in particular in today's briefing. Firstly, the explanation of the integration synergy status. And second, the enhancement of our information disclosure to the extent possible within an allowable scope. And please note that the Media, Commerce and Fintech businesses are all in diverse stages of growth and reflect differences in profitability. By raising our disclosure level, we hope that you would be able to deepen the understanding of our business and evaluate us based on the sum of the parts valuation. After today's briefing, if you can kindly continue providing us with your feedback, we will work on making further improvements. Now with that, we would like to move on to the briefing. This is FY 2021 Q1 financial results topics. In Q1, revenue reached a record high of JPY 373.3 billion, up 36.3% year-on-year, driven by the growth of Advertising/Commerce Businesses, which was brought about by the integration with LINE. Adjusted EBITDA, which is our income index going forward, was JPY 86.3 billion, up 11.2% year-on-year. In Q1, we achieved an increase in both revenue and income. Along with the tailwind provided by the integration with LINE, the Advertising Business grew significantly due to the recovery in advertisers' demand and the digital shift in advertisers' ad and sales promotion budgets. Total advertising revenue was up 68.4% year-on-year. Now due to the effects of integration and the growth of Reuse business, EC transaction value rose 15.5% year-on-year. And some investors requested to see lines of business results set apart from other businesses. LINE's consolidated results show the operating profit for the third consecutive quarter, even excluding onetime gains and losses. Next topics. PMI is progressing steadily. I will elaborate on progress made in some projects later. And lastly, we are scheduled to acquire Yahoo!-related trademark and licensed technology in Japan in the second half of 2021. Next slide, please. Now I will explain these 4 agenda items in the order shown here. Next page, please. First, whole group-related topics and consolidated business results. Next page, please. This shows the whole group results. I might repeat myself, but both revenue and income increased due to positive impacts on integration with LINE and the growth of existing businesses. Let me remind you that we've changed our management index to adjusted EBITDA from this fiscal year. So when I say increased income, I am referring to a rise in adjusted EBITDA. Next page, please. Next, LINE's consolidated business results. We are working on monetizing, especially the advertisement business. And also, our marketing expense has been streamlined, and so we were able to secure operating profit in Q1. And this is the third consecutive quarter of recording an operating profit without onetime gains and losses. We have much potential in LINE, so we would like to grow the Advertising Business and also try to strike a balance with the disciplined investments so we will be able to secure full year operating profit. Next slide, please. This shows our total advertising revenue, including both LINE and Yahoo!. In addition to the recovery in advertisers' demand, we succeeded in capturing the trend of digital shift in advertisers' sales promotion and ad budgets, resulting in the revenue of JPY 133.3 billion, up 68.4% year-on-year. Next page, please. This is the EC Business transaction value. With the integration of LINE, we've included EC businesses of LINE and its affiliated companies in our EC transaction value starting from Q1. And the rationale being that LINE is actively developing services labeled as LINE among its affiliated companies. For more details, please look at Page 58 of this document. While transaction value of merchandise EC in particular was high in Q1 of 2020, we've maintained a positive growth in Q1 of 2021 and recorded total EC transaction value of JPY 817.2 billion, up 15.5% year-on-year. This is the status of integration synergy with LINE. Across our business segments, we are working on measures to expand LINE official accounts as a synergy project. We began to fully introduce LINE Official Accounts in each of our businesses as the B2C communication infrastructure for the entire group. Most recently, we have been implementing 2 major expansion measures: cross-selling to Yahoo!'s ad clients, which is shown on the left-hand side; second introduction is introducing LINE Official Account to Yahoo! Shopping and PayPay merchants, which is on the right-hand side. As a result, in the Media Business, we aim to expand account ad revenue and establish one-on-one full-funnel marketing solutions. We will aim to expand shopping transaction volumes through the use of LINE Official Accounts in Commerce Business. So this is the progress that we have been seeing lately. Since July 8, we have been introducing 2 merchants of shopping business and PayPay to LINE Official Account. And as of July 28, the number of stores that applied for the service is 14,000, and the percentage of the total transaction volume in the stores that have applied for the services is equivalent to 50%. So we have been very pleased starting our businesses. Next page, please. As announced on July 5, Yahoo! JAPAN has agreed to terminate the Yahoo! JAPAN license agreement, which has been in place since Yahoo's inception, subject to the completion of the sale of Verizon Media scheduled for later this year. By this, royalty payment will disappear and will allow Yahoo! greater flexibility in the use of brand, technology and business development. Next page, please. From here, I will explain business results by segment. Next page, please. As we have previously explained, we have changed our disclosure segments to 3 businesses: Media, Commerce and Strategic starting from this Q1 results. Today, I will explain along these 3 business segments. Next page, please. First, the Media business. For each business, I will explain first the business goals and strategies to achieve the goals, then progress of the strategy for the current term and touch upon KPI and profit and loss, P/ l. Next page, please. Now this is the target of the Media Business. We are to achieve full funnel 1:1 in marketing. In order to achieve this goal, we have 2 major initiatives. One is creating new revenue sources through advertising sales promotional products. And second, enhance the value of existing advertisements by collaboration integration with Yahoo! JAPAN and LINE assets. Next page, please. And this is the progress of status of business strategy in Q1. In the 1:1 marketing solution that the group is aiming for, which captures the entire process from recognition to repurchase LINE Official Accounts, which is written on the left-hand side, plays an extremely important role in encouraging repurchases after the initial purchase. In order to establish this solution, we are focusing on expanding the number of LINE Official Accounts as explained at the beginning of this report. Next page, please. Next, the results of advertising revenue of Yahoo!. Q1 was JPY 90.6 billion, up 14.5% year-on-year. Although the impact of COVID-19 continues to linger in certain industries, the company's revenue were well above the level of 2 years ago before the pandemic, due to recovery in demand from advertisers and product improvements. Next page, please. This is the LINE advertising revenue. LINE advertising revenue are also growing strongly. Display ads continue to drive growth, while account ads also expanded steadily over sales grew year-on-year, 54%. And account ad was also plus 18%, strongly growing. And as a result, it was plus 34.1% for overall sales year-on-year. Next page, please. And as a result, the profit/loss of the Media Businesses is as shown. From this time, the results of Yahoo! and LINE, which are in different growth phases, are disclosed separately. Next page, please. This is on Commerce Business. Next page, please. In Commerce Business, in addition to providing user incentives such as point rewards, we aim to maximize transaction value by refining fundamental value of services so that we can maximize transaction value. In order to achieve this, we will work to differentiate ourselves from competitors by improving EC platforms such as logistics. And secondly, we want to provide new services that utilize LINE's social grasp. These are the 2 initiatives we would like to focus on. Next slide, please. This year, where we stand in our efforts to improve service quality. I have been explaining that, instead of having our own logistics, we will collaborate with Yamato Holdings to improve our logistics quality. As shown on the left, the increase of our cargo volume drove the development of Yamato Holdings' EC logistics services, which, in turn, improved logistics' user experience and thus creating a virtuous cycle for both companies, namely Z Holdings and Yamato Holdings. Consequently, the number of stores using Yamato Holdings' fulfillment services has increased, and the ratio of Blue Ribbon delivery in total transaction value is going up steadily. We will continue deepening our collaboration with Yamato Holdings so that we can further enhance user experience and eventually maximize our transaction value. Next slide, please. As a new service leveraging on group synergy, we want to provide a new delivery experience and began a demonstration experiment on instant delivery service. It leverages the strength of 2 companies, with ASKUL responsible for product procurement and sales while Demae-can provides a store space on its site and handles delivery, and LINE will be gathering users. Through this demonstration experiment, we want to understand the needs in instant delivery of daily sundry goods and consider future store expansion. Next slide, please. Another focus is on developing social commerce using LINE so that we can differentiate our services from competitors. And LINE Gift existed as a service, and it has been hiking up sharply since its launch. And the transaction value in Q1 was up 203% year-on-year. Going forward, we aim for further growth by creating group synergy, such as with Yahoo! and ZOZOTOWN, so that we will be able to increase the number of lineups/assortments that we can provide.  Next slide, please. This shows the results of merchandise transaction value. In Q1 of 2020, the transaction value of Shopping Business grew significantly due to the stay-home-related consumption during the pandemic and the government's initiatives to provide payback for cashless transactions, making it a tough year-on-year comparison. On the other hand, the Reuse business transaction value achieved double-digit growth for the first time in about 6 years due to a higher spend per YAHUOKU! user and steady expansion of PayPay Flea Market. Next slide, please. The results of Commerce Business are shown here on this P/L. Please turn to the next page. This is on strategic business. Next slide, please. In Strategic Business, we will first work on making Fintech a new revenue pillar following Media and Commerce Businesses. To achieve this end, we will firstly expand user base of PayPay; and secondly, start full-scale monetization of various financial services, including PayPay. Next slide, please.  Anticipating the integration of QR barcode business in Japan starting from August 17, we are scheduled to enable payment with LINE Pay at PayPay merchant stores, where merchant presented mode is offered. We aim at maximizing group's overall payment GMV by expanding the locations where LINE Pay can be used. Next slide, please. These are major PayPay's KPIs. You see the number of payments and also the number of users and frequency and each dramatic increase and quarterly PayPay GMV grew to JPY 1.2 trillion. This is a survey on copayment usage trends released by the cashless councils at the end of May. The overall market expanded 3.7x year-on-year in 2020, with payment transaction volume of JPY 4.2 trillion. Market is growing rapidly. And within such condition, PayPay's transaction volume grew 4.2x year-on-year, outpacing the market growth rate. And now the market share of PayPay is over 68%. We would like to continue leading the cashless society in Japan by providing a convenient and profitable user experience through PayPay. Next page, please. In the credit card business, various KPIs are growing steadily. In line with the upcoming launch of new services, we will strengthen sales promotion and accelerate the growth of each KPI indicators. Next page, please.  Now this is the KPI for PayPay Bank. On April 5, we changed trade name of Japan Net Bank, Ltd. to PayPay Bank Corporation. And we have unified the brand. And as a result of our endeavor, this attracted PayPay users and various KPIs grew steadily. We will continue to expand the PayPay's ecosystem and further expand the financial service businesses, including cards and banking. I have been talking about the cards and banking. And at the press release, the PayPay securities bonus operation of this service is now overcoming -- over-exceeding 4 million users within 1 and 3 months. Next page, please. And as a result, the profit and loss of Strategic business is as stated. Revenue is disclosed separately by Fintech business, which is our core business, and other strategic businesses. Furthermore, we decided to disclose separately the credit card business and the banking business, which are the immediate growth drivers in Fintech. Next page, please. Next, I would like to explain about our international business development, which is a cross-segment business. Next page, please. Since this is the first time that we are presenting a complete picture of our international businesses, I will give a general explanation of the status of each businesses. Our international business will develop and are developing centered on the LINE. And when we talk about international business, it is based on Taiwan, Thailand and Indonesia that we focus on because we have overwhelming reach and market share in those countries. We are generating revenue mainly from the advertising stickers and game businesses in those countries. Next page, please. In addition to its core revenue-generating media services, we are focusing on expanding O2O and Fintech services, especially in particular I mentioned in the middle part, the LINE Bank, LINE BK. A joint venture with a local bank in Thailand has already garnered wide user support as a loan company that provides lending services and has surpassed 2.9 million users in about 9 months since its launch. Going forward, we would like to utilize the knowledge we have gained in Japan in business such as the banks and develop businesses that match the environment of each country, which is completely different from that of Japan. Next page, please. Lastly, I would like to touch upon the business forecast for FY 2021. Company-wide revenue and adjusted EBITDA remain unchanged from the guidance announced in the business results briefing for full year FY 2020 and Q4. We enhanced the disclosure for each segment with the hope that they will be evaluated appropriately. Please use it as your reference. This concludes my presentation. Thank you very much for your kind listening. And after this, we would like to open the floor for question and answers.
Operator: Thank you very much, Mr. Sakaue. We would like to start the Q&A session. [Operator Instructions] Now without further ado, we would like to start the Q&A session. [Operator Instructions] Firstly, SMBC Nikko Securities, Mr. Maeda, please.
Eiji Maeda: I am Maeda of SMBC Nikko Securities. I have 2 questions. The first question is on the status of Q1. Regarding SG&A, it increased because of the rebound. And we thought that there might be a reduction in income, but you were able to secure positive income growth. So you provided us the numbers for segments, and I want to know how much each segment will grow so that we will be able to see how it will evolve in the future. Second question, it is on LINE. Regarding operating income, even excluding the onetime gains and losses, you were able to secure operating income. And is it correct to understand that other external factors did not contribute to the current profit of LINE?
Ryosuke Sakaue: Thank you, Mr. Maeda. I would like to answer both questions. Firstly, about Q1 results background and you want to know what is the outlook for the full year. For Q1, last year, we had the impact of pandemic, so we froze about JPY 10 billion for the SG&A. But now we are back to normal, so we have re-factored in the budget for sales and promotion. And EBITDA increased, and you want to know what contributed to the increase of EBITDA. There are 2 points. Yahoo! advertising grew more than we have expected, including LINE's advertisement. So these are the positive contributors. As you know, in terms of EBITDA margin, it is about 40% when you talk about the advertisement business. And we froze SG&A of JPY 10 billion last year. And even though we have reinitiated our expense, we are still in the black. About the outlook for this fiscal year, you see the full year guidance, and we have the figures as targets. And given the start of Q1, I think we are trending very favorably.
Eiji Maeda: How about Q2?
Ryosuke Sakaue: Well, in terms of Q1 in Media Business, the previous year, we were in a tough situation. But Commerce Business, we did very well because of the pandemic. So there are differences upon one business to another. But even given that, in Q2, I believe that the repercussion from the previous year-on-year will be less. And so for the full year guidance figure, I believe that we will be able to attain these numbers. Going to the second question about LINE's operating income, whether that shows the real robustness of LINE. And for Q1, there was no onetime gain or loss. So you can take the operating profit of Q1 on LINE as the actual robustness, the capability, so to speak, of LINE. That's all from me. Do you have any follow-up questions?
Eiji Maeda: No, I don't.
Operator: Next from JPMorgan Securities, Ms. Mori, please.
Haruka Mori: I have 2 questions, too. The advertisement business is very robust, especially the LINE has great momentum. Therefore, the business result was not good. But I would like to know about the impression and the movement of the unit price and the smart channel and LINE news. I would like to know the movement by channels. What has been driving the growth so much? The LINE account advertisement, you said that you're going to be focusing very much on that and the account advertisement is going to be fast growing. Is that the image that I should hold? And with that, I would like to have a forecast for the Q2, too. That's my first question. The second is about the Commerce business. On the first quarter, Shopping business, the business result is something that I would like you to explain. You said that the hurdle was very high, and you wanted to maintain the level from the previous term. And other companies' financial results are coming up. But I would like you to explain how you were strong. And another one is about the Smart Store loans being delayed. And I would like to know why this is delayed, and I would like to know the schedule. Excuse me, this is with Smart Store.
Ryosuke Sakaue: For number one, it is about the moment of LINE advertisement and the forecast. This is going to be explained from Mr. Idezawa later on. Your second question was about Commerce business, especially the evaluation of the shopping business compared to the peers and the Smart Store loans. And I would like to start off with the second question. And for the business operation, Mr. Ozawa will make the follow-up.
Takeshi Idezawa: This is Idezawa. For your second question, the LINE advertisement has great momentum. There's 4 reasons. This one is impression increase, especially the smart channel, which is the advertisement that shows on the top part, has been driving this movement. And the service -- the Smart Channel is growing significantly. And the second factor is the advertisers' number. Compared to last year, last year, advertisers were not placing much advertisement. Therefore, overall demand was low. And the other factors in the 2 to 3 years of the platform for the advertisement allocation, we have been creating the platform, making it easier for the advertisers to place their advertisement. And therefore, the number of advertisers are on the rise, and -- which is linked to our revenue. The third factor for the growth, this is about the comparison with the previous term. As advertisement, it was a tight and severe term. And compared to that, we are growing significantly, meaning that the customers are coming back to us. So the advertisement industry was not placing advertisement, but now they are coming back. And for the account, this is probably going to be the next expansion reason. The -- this is going to be the start of the services of the holding growing, which is the LINE. And presentation has also touched upon the top 400 companies in Yahoo! -- Z Holdings. Only half of them are only utilizing the LINE Official Account. Therefore, we're going to be making promotion and sales with the link of the SoftBank Group, too. And another issue, the merchants of the shoppings are now opening their LINE Official Account very much. Therefore, we're also increasing customers, too. Therefore, with 2 initiatives we are now launching and increasing the LINE Account Official, it has now been transferred to the pay-as-you-go services. So once people are starting to utilize, we're going to be collecting revenue. Therefore, we believe that the business is going to be steadily growing. And about the forecast after Q2, the trend is not going to be changing. But compared with the previous term, last year second quarter, customer -- compared to that, customer was coming back. Therefore, compared to this year -- this term, I think it's going to be much more modest. Thank you very much.
Ryosuke Sakaue: So the second part was about commerce business. Commerce or the evaluation of the -- especially the Shopping Business, we have landed, as we have assumed within the half. So the previous year, there was cocoon consumption, and the government has been launching the payback for cashless payment. Therefore, the GMV has been growing significantly. On this part, we may be -- we were considering that we are going to be having a hard time. But then since we have been forecasting so severely, in order to -- we did not take or select the way to launch a campaign to secure transaction volume, but rather made improvement for quality and experience of the users. That was our large policy. Therefore, we have been assuming this level. And compared to other companies -- and regarding Smart Store, Mr. Ozawa is going to be making additional comments.
Takao Ozawa: Can you hear me?
Ryosuke Sakaue: Yes.
Takao Ozawa: This is Ozawa. So I'm in charge of these businesses. And I think we are under our forecast, and we think that we are -- passed our testing. But for myself, I think we could have done a little bit slightly better. But what mentioned was -- especially about the mall businesses, the e-commerce for Z Holdings, including the deliveries and distributions, the ZOZO already has the distribution. And Apple, within this point compared to them, we were also making great growth, too. Our investment is always based on strong services. Therefore, we would like to invest even more to maintain our strength compared to others. There could be some malls that are deemed distribution is low or distribution weak. But rather than putting in a lot of marketing -- but we would like to accurately focus on the distribution and look at the cost effectiveness with the investment to make the accurate and correct investment. And therefore, I think, at this point, I think we are at a reasonable level. And I think the reason why we seem to be a little slightly lower than other companies, there are some factors. Last year, so the users who do not use us usually, meaning not utilizing Yahoo!, started opting, selecting Yahoo! for the first time. And of course, some customers came back to us and reuse us, too, but then others went back to their normal platform. So there could be some customers that have departed with us. And last year, the government's cashless payment policy was there. And for ourselves, we have been starting at the end of June, the premium was 5% around until June and until July -- or starting July, the premium started becoming 3%. Therefore, the growth rate in that area, especially on June, was very high. So year-on-year, maybe it could be deemed slow. Lastly, the Smart Store. For the first half, it is going to be released is what we announced. And currently, we are not on delay. And just to add information, there is the data control issues. And towards Smart Store, we would be very cautious to work on the localization. So during the first half, we are to release the Smart Store, and that is our schedule.
Haruka Mori: And about ad, the forecast for second quarter, including Yahoo!, is something I also would like to know, please.
Ryosuke Sakaue: The forecast for 2Q, the ad revenue range is already shown and indicated by full year. Therefore, the quarterly basis, we're not going to be disclosing from this fiscal -- this quarter. And for the full year guidance, we are steadily moving on and Yahoo! and other advertisement. The Q2 could not be expecting as much growth as Q1, therefore, slightly moderate. Would that be all right?
Operator: Let's move on. Mitsubishi UFJ Morgan Stanley, Mr. Araki. Please.
Masato Araki: I am Araki of Mitsubishi. I have 2 questions. Firstly, about PayPay. In summer of 2018, you had a 3-year free campaign, and that will end in the summer of 2021. And I believe that we are heading toward billing, so I want to know whether you're going to continue free provision or you are going to start billing. That's my first question. And second question. You have YDN, and you have a Yahoo! Premium Display and you have Yahoo! ad exchange. And I want to know what are happening to those advertisement products.
Ryosuke Sakaue: Thank you very much, Araki-san. So about PayPay whether we're going to bill. And second one is Yahoo! Premium DSP and what is happening in that area right now. Well, the second question is that YDN has been terminated.
Masato Araki: So I want to know what is happening to ad tech regarding the 2 products that you still have.
Ryosuke Sakaue: So I will answer the first question. Regarding PayPay, in the full of FY 2021 for small merchants, we will end the free of charge campaign. Regarding the fees, we will make announcements as we get closer to fall. About YDN and ad exchange status, I do not know the details. So first off -- but right now, we are focusing on YDN.
Masato Araki: No, no. Regarding YDN, you ended it on June 23. And in the briefing material, there are breakdowns. And YDN has been terminated.
Ryosuke Sakaue: oh, I see, I see. I misunderstood your question. We had YDN, and we rebranded to Yahoo! Display Advertisement. And so that is the labeling that we use in the briefing document. So ex YDN is the programmatic advertisement that you see on the document. Regarding premium DSP in Q4 of 2019, we closed this product. So in terms of the programmatic platform, we try to consolidate all the past products and provide as a new product. And regarding reservation advice, we have prime display and brand panel, and we build by impressions. So those are the 2 different types.
Masato Araki: What happens to Ad Exchange?
Ryosuke Sakaue: Please give me a few minutes. We are confirming the answer, so please allow us to get back to you later. Is that all from you? So did we answer the first question?
Masato Araki: Yes.
Ryosuke Sakaue: Okay. Thank you.
Operator: From Okasan Securities, Mr. Okumura, please.
Yusuke Okumura: This is Okumura from Okasan Securities. Can you hear me?
Ryosuke Sakaue: Yes, very clear.
Yusuke Okumura: I have 2 questions, too. And maybe it could be some overlap with the questions. It's about the advertisement of the LINE, which was so robust. And you have been saying that the smart channel has been the cause of this great growth and the capital increase was also the reason. And I think we have -- went on lapse. Therefore, it is going to be subsiding. And regarding the unit price or higher spend, is it changed? This is what I would like to confirm. And the second point, it's about the logic of the marketing for PayPay from -- going forward. Is it going to be the frequency or the campaign that you launched right now? Are you going to be increasing such campaign, especially for the payment that is going to be starting to build? I think you're going to be narrowing down on the cost because you would like to grow the business more. Or else are you going to be spending much on the marketing to acquire customers more? So what is your logic behind?
Ryosuke Sakaue: Thank you very much for your question. So I would like to just organize your question. One is about LINE advertisement, whether the impression number is growing and whether the spend is growing as well. That's going to be answered by Idezawa-san. And for the policy of PayPay, how we're going to be working on -- and you would like to know about the concept. The second point will be followed by Mr. Ozawa. So Mr. Idezawa will answer on the first question.
Takeshi Idezawa: The smart channel impression, just around mid-May, we started collection, and the impression has been increased. And the pocket view impression increased, and smart channel increase has been leading for us to make this level. The impression overall is also growing, too. So indication or description number has been coming to the upper level is what we are thinking. However, the organic growth of the services are also growing. Therefore, impression is going to be expanding in that area, too. And for the unit price or customer spend, it is now up -- going up and down. Before looking at the longer term, within the full year, I think it is going to be on the growing trend. That is all from my side.
Ryosuke Sakaue: And regarding your second question, it is about the philosophy of PayPay Marketing. Mr. Ozawa is going to be answering.
Takao Ozawa: Going forward, on the second quarter, third quarter and onwards, basically, we're going to be continuously expanding the user base. And for the existing customers, we would like to heighten their spend. Therefore, we're not going to be narrowing down the marketing cost suddenly. Necessary investment is going to be launched. While saying that, we are not saying that we're going to be having investment more than that we used to have. Therefore, for investment, we're not going to be having a much fluctuation for this fiscal year. Was that all right? Did we answer all your questions?
Yusuke Okumura: Thank you very much.
Operator: Next, Citigroup Securities, Mr. Tsuruo, please.
Mitsunobu Tsuruo: This is Tsuruo speaking. Can you hear me?
Ryosuke Sakaue: Yes, we can hear you well.
Mitsunobu Tsuruo: First question. In 5 years, you have JPY 500 billion for strategic investment. In Q1, how did you do? And how will it trend full year? In terms of EBITDA Q1 figure, the disclosure content is different from the past. So it's very difficult to make an apple-to-apple comparison, but it seems that you are able to grow by threefold or fourfold. And I believe that the cost will be further reduced in the fourth quarter of this year. So I want to know how you are trending with the investment plan. Second question, you talked about PMI of LINE in some newspaper articles. And what is the consolidation schedule of LINE and PayPay? How is it going? I know that you are making some progress, but I want to know what will happen in April 2022. Those 2 questions, I would like you to answer.
Ryosuke Sakaue: So first one is the plan of JPY 500 billion. And the second one is the consolidation of PayPay and LINE. And I will answer those 2 questions. And if there is any follow-up comment from Idezawa for the second question, he will do so. For JPY 500 billion investment in Q1, as mentioned, we are trying to improve the quality of delivery and conducted investment in the logistics area, collaborating with Yamato Holdings. And so the number is pretty low. So I will not mention any figure, but we are completing the data governance strengthening in the first half. So we are going to strengthen our strategic investment in the second half. So for a JPY 20 billion to JPY 30 billion investment, there will be no change as mentioned in the guidance. And as mentioned before, there will be improvement in the income, but we would like to give our first effort in realizing the guidance number. So we will be able to manage the performance going forward. Second question about consolidation of LINE Pay and PayPay. And heading toward April next year, we are making preparations in-house. And in terms of some of the initiatives that we do not have to wait until next April, we are taking actions. So are there any comments from Mr. Idezawa?
Takeshi Idezawa: And so QR and barcode, we are trying to consolidate in April next year, and we are conducting due preparations. And this is very important, so we are putting full fledged effort in the area. That's all.
Mitsunobu Tsuruo: I have one follow-up question. Is there any hurdle in realizing the consolidation? And I know that this is a delicate matter. So can you disclose anything to the extent that you can?
Ryosuke Sakaue: And Mr. Idezawa, please.
Takeshi Idezawa: So from user interface point of view, how we can conduct the consolidation in a seamless manner? And also, what will be the system that we will be operating on? And there are some legal matters that we have to abide by. So there are diverse topics that we have discuss, and we are trying to go one item at a time to settle all those questions at hand. Thank you very much.
Operator: From Jefferies Securities Mr. Sato, please -- Ms. Sato, please.
Hiroko Sato: This is Sato from Jefferies Securities. Can you hear me?
Ryosuke Sakaue: Yes.
Hiroko Sato: I have 2 questions, too. It is about e-commerce. For the full year guidance, you were saying that you're going to be making the cost control. And last term, after the second quarter, I think you have been putting in the marketing investment to have Cho PayPay Matsuri. Therefore, I think you have been utilizing a lot of marketing expenses. And going forward, are you going to be having a bigger festivals as such? Because I would like to know whether the marketing budget will be around the same size as last year, previous fiscal year or else you're going to be much more moderate. And you're going to be making arrangements within the company guidance. That's my first question. And the other question is about one slide, which was shown on the latter side -- latter half. So the prime category of the securities market, are you already established?
Ryosuke Sakaue: Yes. So first of all, the EC marketing cost and the next is prime market. And I would like to make the answers for both of them. Regarding the previous year, in the first half, in Q1, Q2, JPY 20 billion was due to -- frozen for the budget. And then that was used for the second half. Within the full year, we have been utilizing almost near to the budget plan. And for this fiscal year -- so by 12 months comparison, for this fiscal year, the budget and the size of the marketing is almost the same as last year. It is also related to GMV, too. Therefore, the framework itself will be increasing. However, though, thinking about the logic of marketing is almost as equivalent as what we have been utilizing last year. Regarding PayPay Matsuri, we already launched 1 in July. There was an effect in March, too. And July, Matsuri was also in great success. The cost was also becoming much more effective, too. Right now, we are still discussing how much PayPay Matsuri we're going to be holding this year, but we would like to make a plan for the PayPay Festival. That's one thing. And the second thing from the Tokyo Securities Exchange, we would like to keep it disclosed. But then, for our company, we would like to transfer within the category of prime market. Starting next April, we would like to maintain our listing within the prime marketing. That is why we have been disclosing. That is all from my side.
Hiroko Sato: Okay. I think I made the same question, and you were saying that this was a sensitive issue. And you have been making some explanation about this, but you were not crisp cut about your explanation. So I thought you were on the borderline. But you have been showing the explanation within the slide. Therefore, I thought the prime market is already fixed.
Ryosuke Sakaue: It's difficult for us to specify. But for the teams to see the prime market, there's some transition. And we do believe that we can handle the changes. And so we're aiming for the prime market, and that is going to be achieved. So I cannot assume that Yahoo! is not in the prime market, so please work well.
Operator: Let's move on. Sawada-san from the Ace Research Institute.
Ryotaro Sawada: I am Sawada. I have 2 questions. First question is on e-commerce Reuse business. On Page 23, I understand that the spend for YAHUOKU! increased and the Flea Market did very well. So can you tell me more details and add colors to the comment that you made previously?  Second question is on PayPay Bonus. So 4 million is a number that you have given. And I think it is great that 4 million people were able to experience your service, and so what do you think was the factor that contributed to such a great success?
Ryosuke Sakaue: The first question is on the breakdown Reuse. And the second one is success of PayPay Bonus management, and you want to know how we are evaluating that. And Mr. Ozawa will provide with follow-up comments. But firstly, I would like to answer your questions. Firstly, about Reuse business. Regarding YAHUOKU, we froze some of the marketing expense last year. But in the category for this where spent per user is high, we will be able to grow robustly. Existing users visited YAHUOKU!, and we were able to increase the spend per user, which contributed to the increase of transaction value. Regarding PayPay Flea Market, in the beginning of this year, we changed the fee structure. So that boosted the new users participation. In terms of the ratio and the overall picture, we can say that the PayPay Flea Market grew, and it contributed to the total growth of Reuse business. Second point about PayPay Bonus will be made by Mr. Ozawa, and maybe he might add color to YAHUOKU point.
Takao Ozawa: What Mr. Sakaue said is true, and there is a background comment to make. YAHUOKU! actually provides very unique services and products. So for cocooning consumption and also for the increase of EC transactions, users want to purchase rare items, and we were seeing placement of those rare items. And the unit price went up, and users want to purchase those items, which contributed to the momentum of Reuse. And including Flea Market and also including other players, the culture to purchase used items on the net became a boom. And in terms of YAHUOKU!, you can participate in the auction bid if the item that you are presenting is a high value. And Flea Market, the fee was 50% off. So anybody can immediately sell the product. So the sellers came to participate in PayPay market. So we were able to grow in double digit, and I think that is good news for Q1. About Bonus management, it did very well and outperformed our expectations, and we are analyzing why. Ease of use, I guess, is one of the factors. It's -- PayPay is one of the super applications, especially in the financial area, so people use PayPay for the management of their assets. And you can get bonus by conducting purchase through PayPay, and you can use that money for the management of your assets. And also, the market is bullish. So in the word of mouth, people went for the investment. And also, there are brick-and-mortar security companies who are trying to get the money for investment. But since PayPay is so easy for the beginners to participate in the investment market, we want to nurture them going forward. So we have high expectations toward the management PayPay Bonus.
Operator: Next, Astris Advisory, Mr. Gibson, please.
David Gibson: It's David Gibson. So you purchased LINE to drive synergies. Could you be specific, please, in how much revenues that Yahoo! benefit from in revenue synergies with LINE in billions of yen. In addition, how much did LINE revenues increase with synergies with Yahoo!? That's my first question. The second question is, could you say how much of the GMV in your shopping in total in the first quarter was actually related to PayPay Mall, please? That's all.
Ryosuke Sakaue: Thank you very much for your question. Regarding the details, we are not disclosing them. So regarding the synergy of advertisement revenue between Yahoo! and LINE, the numbers are not disclosed. We're going to Shopping, and I guess you're questioning about PayPay Mall and GMV. Regarding the second question, we do not extract the GMV relevant only to PayPay Mall. We can say that, as compared to Yahoo!, PayPay Mall is growing more rapidly. And scale-wise, they will be on par pretty soon. So that is the qualitative answer that I can give to you.
David Gibson: Okay. So to follow up on the first question. Why not disclose the synergies within the business? It is pretty fundamental to why you purchased LINE. Why -- is it not ready yet, it's too small? Or do you plan to in the future? Could you elaborate why you're not disclosing this crucial part of the transaction?
Ryosuke Sakaue: At this point in time, we just started enjoying the synergy. So it's very difficult to identify a tangible figure at this point in time. I do understand that investors are interested in the synergy. So going forward, we would like to discuss what we can do regarding the disclosure of the situation.
David Gibson: Okay. Could you not identify what Yahoo! existing clients have incrementally spent on LINE?
Ryosuke Sakaue: Well, I did not understand your question very well. So IR team will try to follow up with you later.
Operator: Let's move on. The CLSA Securities, Mr. Matthew, please.
Oliver Matthew: It's very good to see the Media Business doing so well. I have 2 questions. The first question, on e-commerce, could you tell us more about what synergies we should expect going forward? Last quarter, you mentioned you're considering a combined loyalty program across the different platforms. Do you have any update on that? The second question for the LINE Pay and PayPay merger. Could you talk about what benefits consumers could expect from this?
Ryosuke Sakaue: Thank you for your question. For your first question, it's synergy for the EC, especially the integration of the loyalty program and how the status is. For first question, Ozawa-san is going to be answering later on. And second is about the user benefit of the integration with Yahoo! and LINE -- PayPay. So I would like to answer on the second question, followed up maybe by Idezawa-san if needed. So we have been saying that we integrated this LINE Pay and Yahoo!. And more number of merchants, over 3 million of the merchants of PayPay, is now being able to be paid with LINE Pay. This is a big for the consumers for the users. Regarding the loyalty program, too, by having the integration, we're going to be able to -- so the customers will be having a larger marketing campaign. For the first issue, Mr. Ozawa is going to be answering on the loyalty program.
Takao Ozawa: This is Ozawa. Regarding loyalty program, there's 3 running within the Z Holdings. One is in Yahoo! and one is running in PayPay and one is running in the LINE. Basically, with these 3, we're going to be integrating the 3 loyalty programs. And for the big lump sum of the users, the users will be able to go to any services. That is our concept. And before starting, Yahoo! and PayPay, regarding their loyalty program, the integration has already achieved and realized. For this part, the users can go back and forth the different services. The LINE is about to integrate their loyalty program, too, is what we have been announcing at the financial results the other day. And as soon as we are prepared, we would like to announce the user side, LINE, Yahoo!, when they would like to purchase things, utilizing their loyalty program that they can access. They would like to enjoy shopping or they could be enjoying other platforms. And that's going to be a core of -- please, that we could ask the benefit from the consumers. That is all.
Ryosuke Sakaue: And regarding the second point, PayPay and LINE Pay user benefit. If there should be any comment from Mr. Ozawa, I would like you to answer. So Mr. Idezawa, can you start first?
Takeshi Idezawa: I would like you to refer to Page 27. So what we have decided is starting August, LINE Pay user is going to be able to pay through LINE Pay at the PayPay merchant. Therefore, the merit or the convenience of the users are going to increase, and the merchants are going to be able to access to new users, too. So that is the first benefit. And other than that, this is something that we are under discussion. But with the coordination, I think we do have great benefit to provide to the consumers.
Ryosuke Sakaue: Mr. Ozawa, would you like to add anything?
Takao Ozawa: So what was the use of benefit when it has been integrated after April was the question. So it's difficult for me to explain because not everything is fixed for announcement yet. But this is only too natural that PayPay enjoys high share, and the user are utilizing LINE every day. Therefore, having these 2 connected, the money transfer will be done easily. But not only that, maybe people will be able to have P2P remittance between the individuals. So marketing activity, utilizing those platforms is also something that we can expect highly from by that. It used to be that PayPay has been burdening the marketing cost and provide user benefit. However, it could be manufacturing companies or the merchants having the users expand. There's going to be a marketing value expanded, meaning that our economic system or ecosystem is going to be expanding. So consumers feel the benefit. And for us, we have the benefit, too. And for the advertisers, they also should feel the benefit, too. As soon as we are fixed with our idea, we would like to announce. Thank you very much.
Operator: [Operator Instructions] Let's move on to CLSA Securities, Mr. Matthew.
Oliver Matthew: I have 2 questions about advertising. Number one, could you talk, in general, are you seeing new advertisers come to your platform, whether it is Yahoo! or LINE, given the very strong shift we're seeing in general towards digital marketing in Japan? The second question, could you comment on potential regulatory changes that might happen in April 2022 and how they could impact your Media Business? It seems to me these could actually be quite positive because they will push advertisers to work with the larger platforms, but I would like to get your view.
Ryosuke Sakaue: Thank you very much for your question. For the first question, the platform for advertisers is whether or not it is shifting over to a digital platform or not. And it's going to be answered by Mr. Idezawa. But before that you mentioned about the second question. This is a regulation revisal that is going to happen in 2022 April. So I would like to know which law or regulation you are talking about, please, for Japan.
Oliver Matthew: Hello? I'll check. Just if you could answer the other question first, I'll tell you in a second.
Ryosuke Sakaue: So now I would like to comment for the digital shift. Overall trend for the advertisement budget is increasing for the digital area. Compared to European nations, the budget for the advertisement, the ratio of digitization was very low in Japan. However, in the 2 to 3 years, we are seeing an expansion within the digital budget. Therefore, as a whole trend, I think it is just as you say. But Yahoo! and LINE, in our status, those both have a big platform. Therefore, we are already reaching out to many customers. Therefore, we would like to increase the higher spend of the customers, which is going to be the big point for us. But having said that, customers could be placing advertisement on Yahoo!, but not on LINE. Therefore, we do have a lot of room to grow in those areas, too. Therefore, we have a large room in order to grow, too. Thank you for the first comment.
Oliver Matthew: So for the regulation, this was mentioned by the Nikkei a couple of days ago. And I think it's related to the digital market competition review, and they are talking about potential regulations on targeting advertising in Japan.
Ryosuke Sakaue: Thank you. Now I understand. Clearly, it just started coming on the newspaper. Therefore, nothing concrete has been informed to us. Therefore, it is difficult for us at this point to say this is negative or positive. If things are going to be much more clearer, then I would like to take an opportunity to answer on your question.
Operator: Next question is Astris Advisory. Mr. David Gibson, please.
David Gibson: I'm referring to Page 14, 1-4, of your presentation. And point two, you say the cross-sell of LINE Official Account to Yahoo! JAPAN's ad clients where about half of the top 400 clients do not have LINE Official Accounts. Have you begun that cross-sell? If you did, when did that begin? And when do you think that might impact your revenues?
Ryosuke Sakaue: Our sales activity already started. And currently, we are underway on the cross-selling for the business results. In order for them to be visible, we would like to be rigorously acting on the sales activity. And so going back to Mr. Araki, I would like to share with you some information that I have, but IR will conduct a follow-up later to provide you with the details. About ad exchange, we have not answered that question. So why the end was closed in June and you wanted to know what is happening with ad exchange. We are trying to come up with one platform. And after the consolidation, ad exchange is still being provided. And maybe you might want to know more in detail. So in terms of ad exchange products, you will be able to purchase one platform. And now YJ and we have DSP inventory that will be provided through the one platform. And that is how we are dealing right now. That is the follow-up for the question that you have posed before.
Operator: We seem to have no more questions. Therefore, we would like to close our question-and-answer session. Lastly, Mr. Sakaue is going to be making his closing remarks.
Ryosuke Sakaue: So thank you very much for attending this briefing. And it was just an hour, but thank you very much for your active questions. And for fiscal year, full year, we would like to be explaining our position. Therefore, please follow us up. And today, we have talked about the synergy with the LINE integration. And regarding this issue, too, for every quarter when everything new occurs, we would like to report to you to share with you our progress so you will understand concretely. Therefore, continuously, please follow us up and support us. Thank you very much indeed for your participation today.